Operator: Good afternoon, ladies and gentlemen and welcome to the Vocera Communications Conference Call. My name is April and I will be your conference coordinator for today. At this time all participants are in a listen only mode. After the speakers' presentation there will be a question-and-answer session. [Operator Instructions] I would now like to turn the presentation over to your host for today’s call, Sue Dooley of Vocera Investor Relations. Please proceed.
Sue Dooley: Thank you. Hello, everyone. Welcome to Vocera’s conference call to discuss our third quarter fiscal 2019 earnings. Joining me today are Vocera’s CEO, Brent Lang; and Justin Spencer, our CFO. Earlier this afternoon, we distributed a press release detailing our quarterly results. The release is posted on our website at investors.vocera.com and is also available from normal news sources. This conference call is being webcast live on the Investor Relations page of our website where a replay will be archived. Before we begin our prepared remarks, I would like to take this opportunity to remind you that during the course of this call, we will make forward-looking statements regarding projected operating results and anticipated market opportunities. This forward-looking information is subject to risks and uncertainties described in Vocera’s filings with the SEC and actual results or events may differ materially. Except as required by law, we undertake no obligation to update or revise these forward-looking statements. On this call we will refer to both GAAP and non-GAAP financial measures. A reconciliation of GAAP to non-GAAP financial measures is provided in our posted earnings release. With that, I would like to turn the call over to Brent.
Brent Lang: Thanks, Sue. Good afternoon, everyone. Thank you for joining us. The third quarter of 2019 was another solid quarter for Vocera with record revenue of $51 million and good profitability. As we entered Q4, we are excited by our large deal pipeline, our sizable market opportunity and our expanding product set, which has never been better. The highlights for the third quarter showcase our market appeal and highly differentiated offerings. Our success winning large deals continued with eight deals over $1 million made up of both expansions and new hospital wins. This included four large deals in our federal business, and we're on pace for another record year in the sense. Overall device shipments were at a record -- were at record levels, and we are encouraged by how the Smartbadge is building momentum. Our investments in international are driving results with substantial year-over-year bookings growth, including two international deals over $1 million. Finally, in Q3, our pace of innovation continued, including the launch of our next generation smartphone app, the Vocera Vina. Let me tell you a little bit more about some of these exciting developments. From a bookings perspective, we believe customers across our target markets are embracing our unified platform and the power of our clinical integration, intelligent workflow engine and best-in-class voice, messaging and alerting solutions. We achieved our largest ever number of million dollar win this quarter demonstrating the value of our technology with both new and existing customers. In the US commercial health care market, the highlight was a $2.2 million win at the University of Texas Southwest. UT Southwest bought our full solution, and will leverage Smartbadges for communication, as well as for receiving nurse call and patient monitoring alerts. At Fairview Health, we sold a large $1.1 million engage cross sell, building meaningfully on an existing voice installations. The completeness of our solution and our compelling vision were paramount to both of these wins. Device shipments reached record levels, and we saw uptick of Smartbadges in several of our large commercial new hospital system wins. In our federal business in Q3, we continued to achieve strong results. The highlight of our quarter in the Fed was four wins in the VA each over $1 million. We also had several smaller strategic deals in the VA, including some expansions, and cross sell and demonstrating the value of our install base opportunity. In total, we set another record for Federal bookings in the quarter and year to date. Our Fed team continues to build momentum by leveraging our strong track record in the VA and our authority to operate and stay top purchasing vehicle with the DoD. Moving on to our performance in our international markets, I'm pleased to say we had two large strategic wins. First, we won a $1.5 million deal at Cleveland Clinic, London. Opening in 2021 and setting the standard for world class private healthcare, Cleveland Clinic selected our full solution and plans to deploy our software across a mixed device environment showcasing Smartbadges and the Vina smartphone app. Second, we won a $1.5 million deal at Sheikh Shakhbout Medical City in the United Arab Emirates. Similar to Cleveland Clinic, London, SSMC purchased our full solution including Smartbadges, and is anticipated to be a landmark facility, setting the standard of care for the rest of the region. These exciting wins are powerful statements in their respective regions. International is a large opportunity and a top priority for us and we are pleased to have a growing overseas pipeline. We had a busy Q3 for customer deployments and I'd like to take a moment to tell you about a few installations. Our installations at the University of Virginia is up and running. By November they plan to replace 2,800 pagers with a mix of devices including Smartbadges to connect employees throughout the health system. Another important deployment was in Milwaukee, where freighters expanded their use of our products by going live with engage across four hospitals. Demonstrating the benefit Vocera brings to smaller hospitals. We deployed at the 25 bed Samaritan Pacific Community Hospital in Oregon. Samaritan is replacing pagers and wireless phones to speed urgent notifications and improve that turnover. As our expertise and experience and professional services continues to grow, we believe it is becoming meaningful differentiator and helping our customers choose us as their partner. And finally, deployments at Nordstrom stores across the country continue and includes a brand new New York Tower which opens today. Nordstrom team members were impressed by the Vocera enabled connected fitting room. Nordstrom guests can use iPad to connect to team members on their Vocera Badge and receive immediate feedback that service is on the way. It has been a busy year for us in terms of product innovation and advancements. In Q3, we successfully launched Vina an exciting new smartphone app with an industry leading patient centered approach. Vina presents call, secure messages and alerts in a unified and prioritized inbox and provides an intuitive user experience for clinicians inside and outside the hospital. Vina is designed to deliver relevant context about clinical events, patient status, and clinician availability, helping care teams improve safety, quality of care and experience for patients and care teams. Also during Q3, we introduced the next generation of Vocera Analytics to our customers. Vocera Analytics is a core element of our platform. It is a monitoring and diagnostic tool that provides visibility and insights on all traffic that goes through the Vocera platform. It can help our customers optimize their use of our technology, demonstrate ROI and proactively identify and take action to fix infrastructure issues. Analytics is something that I'm very excited about and we're just getting started in this area. We also launched a new version of the Vocera Care Experience in Q3. This entirely cloud based SaaS offering includes the next generation of our routing software, and our post discharge patient communication platform called Care Inform. Both of these modules are now closely integrated with the rest of our platform. Late in August, we published a report about Hackensack reintroduce of Care Inform to reduce readmit rates amongst stroke patients by 50%. I'd like to thank our teams for this fast pace of product innovation. We have extended our leadership in the market and significantly enhanced our customers' ability to improve patient safety. Also, applications like both Vocera Care Experience and Analytics represents software growth opportunities, and provide new avenues to extend our reach into hospitals and health systems. Moving forward, we are continuing to look for ways to expand our offering across the care continuum by building buying or partnering to enable frictionless patient journeys. Now I'd like to talk about the market and share what we're hearing our conversations with customers. This month we convene two important customer facing meetings. Our large customer advisory board is an annual gathering of almost 50 customer champions. This direct customer engagement provides us with the opportunity to understand our customers' most pressing needs and helps us continue to develop and deliver innovation to improve efficiency, lower cost, and enhance patient experience and staff resiliency. We also held the Humanized Health Summit, a two day forum in San Francisco, which was attended by leaders from some of the nation's top healthcare systems. We felt powerful to witness these leaders collaborate around the pressing issues they face today. Patient safety and staff resiliency are paramount in their quest to achieve quality outcome. Out in the field, my sales conversations and interactions with hospital executives continue to underscore that improving margins, staff safety and quality of care consistently rise to the top of their priority list. Hospitals are looking for ways to reduce costs and improve throughput by eliminating friction and bottlenecks and streamlining operations. From a competitive perspective, I believe our differentiated leadership position continues to grow. Our high win rate demonstrates that our technology continues to be chosen as the best, most complete solution available on the market today. Before, I turn the call over to Justin to discuss our financials, I want to take a moment to provide some insights to how we are viewing our progress so far this year. While we believe hospital investment priorities remain squarely aligned with the value proposition that we deliver to our customers, we continue to face certain challenges associated with large enterprise selling and are making investments to mitigate these dynamics to the best of our ability. Based on our Q3 bookings performance, it's clear that some of these initiatives are starting to pay off. But overall, bookings were not as strong as we would have expected. For instance, we experienced some softness in smaller department level bookings. We believe budgets are consolidating. And some smaller deals are becoming large deals. Increasing our average deal size, but also lengthening sales cycles. And while our international business showed progress with a couple significant wins, we believe we still have work to do to ensure consistent momentum across the geographies. Finally, we are encouraged by the Smartbadge wins we booked this quarter, and we believe that device is well priced and positioned. However, the new device represents more of a paradigm shift for our existing customers than we are initially anticipated, because of its new enhanced software functionality. As a result, it's taking longer than we expected for existing customers to evaluate the Smartbadge. As we enter Q4, and begin to think about 2020, our focus will be on closing wins from our large deal pipeline, building international momentum, and continuing to execute on the Smartbadge transition. As we execute through these markets, and product transitions, we expect our revenue growth over the next few quarters to be consistent with the last couple of quarters. However, we remain confident that business over the longer term, bolstered by strategic customer wins, successful large scale deployments, enthusiasm around our products, and high customer loyalty. With that as context I'd like to give our CFO Justin a chance to cover the financial details around our Q3 results and then we will discuss our guidance. Justin?
Justin Spencer: Thanks, Brent. Hello, everyone. We had a solid third quarter for both revenue and profitability, reflecting the continued momentum and pattern we typically see in the second half of the year. Total revenue in Q3 grew 6% to $50.8 million with balanced growth across both our products and services segments. Our device revenue of $19 million increased 12% from prior year, a record for Vocera and was fueled by shipments of both the Badge and Smartbadge. As expected Smartbadge shipments increased from last quarter, and we continue to be encouraged by the pipeline for this device. We anticipate that the Smartbadge mix will continue to increase over the next several quarters, as customers see how this new device demonstrates the full power of our software platform. Meanwhile, the Vocera Badge continues to have strong appeal in the month. Sales of this device were robust in Q3 driven by our Federal business Nordstrom and other key customers. Software revenue was $9.5 million compared to $10.3 million in the same period last year. As we look forward over the next few quarters, we believe our software business will return to robust growth. There is high software content in several of the large deals we booked in Q3 that we expect to ship in the coming months. And the newer products that Brent mentioned earlier, including the Smartbadge and our new Vina mobile app should drive higher software sales, a key driver of our long term operating model. Our software maintenance and support revenue, which provides a solid economic foundation for our business grew 9% in Q3 compared to the same period last year. Our revenue pattern for software maintenance and support revenue is predictable because it is recurring and is recognized over an extended period of time. Also fueling this with our high maintenance renewal rate, which continues to be well in excess of 95%, reflecting the benefits our customers experience from using our products. Professional services of revenue of $4.7 million was up 6% compared to last year. We had a healthy professional services backlog and continued to innovate in this area via both product enhancements and process refinements to achieve the best outcome for our customers in terms of costs, and experience. Lastly, our combined backlog and deferred revenue increased to roughly $122 million in Q3, up from $117 million in the third quarter of last year. This was also up sequentially from Q2 and we expect to increase this further in Q4 following our normal pattern and building backlog and deferred revenue in the second half of the year. On the profitability side, our adjusted EBITDA increased 13% to $9.5 million in Q3. At 19% of total revenue our Q3 adjusted EBITDA reflects the strong leverage we have in our financial model as we grow and we achieved positive GAAP net income in the quarter, a key milestone in our profitability journey. Now, let me get into some more detail on our non-GAAP gross margins and operating expenses. Non-GAAP gross margin in Q3 was 66%, improving sequentially from the first half. The decrease in product margin compared to last year is primarily driven by lower relative software mix in Q3, which can happen from time to time given our software revenue model. Our gross margins in both devices and software continue to be healthy, reflecting our differentiation in the market. Non-GAAP services margin was again strong at 56%, primarily reflecting the continued growth of our recurring software maintenance and support revenue. Non-GAAP operating expenses of $24.9 million were flat compared to last year. The investments we've made over the last years to enhance our scalability have enabled us to keep our operating expense growth in check, while continuing to invest meaningfully in areas that we believe will drive long term growth, such as R&D and sales initiatives. As a result, we continue to believe that there is more opportunity to drive operating leverage as we grow. To cap off my Q3 commentary, we continue to have a strong balance sheet with roughly $221 million in cash and believe we are well positioned to capitalize on new growth opportunities. Now turning to guidance. As Brent mentioned, we saw a lot of progress in Q3 in our strategic initiatives. We're encouraged by this and we are confident our market position continues to be strong. But with one quarter remaining in the year, our growth is not where we had hoped it would be. Reflecting this, our revenue guidance for the fourth quarter is $46 million to $51 million. Our adjusted EBITDA is expected to be between $5 million and $9 million and GAAP net loss per share between $0.15 and $0.02. The implied revenue guidance for the full year is $176 million to $181.8 million. The rest of the guidance details along with a full reconciliation of GAAP to non-GAAP guidance can be found in the guidance table of our press release. Wrapping up despite this near term transition, we remain confident in our growth potential longer term, including the strength of our customer base, our market leadership position and the potential of our new products. Meanwhile, we are managing our expenses so that we can continue to deliver profitability and invest in areas that we expect will fuel our long term growth. I'll now turn the call back to Brent,
Brent Lang: Thanks Justin. With Q3 behind us, we are focused on execution and closing out a strong year. As we think about next year, while our growth may remain moderate in the near term, we are confident we are taking the right steps to secure long term growth. We will continue to invest in international work to ensure a smooth Smartbadge transition and continue to enhance our sales process in order to harvest or large deal pipeline and bring in new customer wins and expansions. It's still early days in the evolution of hospital communications away from pagers, loud speakers and wireless phones. Our differentiated technology and our large Greenfield opportunity inspire us to pursue the goals we set out to achieve. Namely to transform healthcare and make a lasting difference for patients and caregivers. This thesis remains unchanged and we remain confident about the Future. With that, we're ready to conclude our formal remarks. Thank you for listening today. Operator, we are ready to open the line for questions. Thank you very much.
Operator: [Operator instructions] And your first question comes from line of a Ryan Daniels from William Blair.
Ryan Daniels: Yes, thanks for taking the questions, guys. Obviously, the key focus will be on Q4 sales and the flat year-over-year growth versus the expectation for stronger performance. I'm curious if you can go into a bit more detail on the impact of each of the three things you outline. Meaning, how much of this do you believe is due to an extended sale cycle? How much due to some the International noise and weakness? And then how much on existing clients taking longer to assess and install or purchase the new badge? If you can break that down that would be helpful.
Brent Lang: Sure, Ryan, thanks for the question. I appreciate it. I think that's certainly the most important one is this transition we're seeing in the market between departmental level buying and enterprise level buying. We're seeing a larger increasing number of bigger deals and fewer and fewer decisions that are being driven at departmental level. This is having a positive impact in terms of average deal size, but in many cases is adding complexity as these deals need to go through additional approval cycles and building consensus across the organization. International, the second one that you referenced and I also referenced in my remarks is more a function of bringing consistency. We feel like we actually had a really strong Q3 and we're looking forward to some of the deals for the remainder of this year and into next year. But if you look at it on a year-to-date basis, it's certainly below where we had wanted it to be. I think in that case, it's more question of us continuing to do the work, that we've already begun to do more sales enablement, more marketing support, some leadership changes that we've made internationally to have an opportunity to get their teams in place. The pipeline is there internationally, and the -- our competitive differentiation, and our offering seems to be resonating really well. So it's really more a matter of bringing more consistency to that part of the business. And in the case of Smartbadge, I think this is actually a net-net positive for us over the longer term, what we realized is that what we did off with the introduction of the Smartbadge was truly an industry changing activity and while there remains a lot of excitement around it we're recognizing that customers are having to rethink their strategy around clinical integration, around messaging, around software platform and even the infrastructure around silly things like their chargers, batteries, training, some of the infrastructure. So particularly within the install base, I think that that is a bigger impact. So if I was going to rank order them, I probably would say the transition in the deal sizes is overriding the biggest element of it; Smartbadge would be second; and I think international would be third. But we view all them as sort of temporary issues that over the longer term, we feel like either the market will self-correct or we will be able to execute and fix on our own. And actually lead towards more bullishness in the business on a longer term basis.
Ryan Daniels: Okay, that makes sense. I'll hop back in the queue. Thanks.
Operator: Your next question comes from the line of Vikram Kesavabhotla from Guggenheim Securities.
Vikram Kesavabhotla: Hey, thanks for taking the question. I just want to talk about that longer sales cycle in a little more detail. And as we've seen these deals transition to the larger sizes, is it mostly the administrative process. The approval process that's causing them to take longer or is there anything to call out with respect to budget pressure or the competitive landscape that is causing these deals to take longer to close?
Brent Lang: Yes, good question. I would characterize it primarily on the administrative side. And if I break down the sales process and just sort of to have there's a portion on the front end, which is the evaluation of the product, getting to what we think of as vendor of choice, and the reason that that's extended in the sales process is because the number of interested parties and decision makers that want to have a say in that decision increases a lot when you go to these house wide deals. So each department had the CMIO, the CMO, the CNO, the CIO, all these people want to be involved in that decision making and evaluation process. And so it's more of a calendaring and administrative issue just to get demos completed for those folks. We're not seeing any kind of competitive impact on that, it's really just a matter of building consensus amongst the organizations. The second half is sort of post vendor of choice selection to purchase order. And that is where we're seeing probably an even longer elongation as these organizations that have gone through, in many cases, mergers with other health systems or structural changes within their own internal administrative bodies are trying to navigate what's required in order to get from vendor choice to purchase order. And that can involve statements of work the other legal aspects of it. It can involve the funding mechanisms. It can even involve just simple operations in day-to-day activities getting in the way of getting into final paperwork close. When you're talking about over $1 million size deals, there is just more hands in that. And I think probably that's the piece that we're seeing more elongation where we've been named vendor of choice. But in order to get approvals for $1 million plus or $2 million plus or larger deal, it's oftentimes having to go through several additional committees for final approval up to including at the board level approvals. And obviously the board meetings only occurred on a sporadic basis and so in some cases we're bound by the calendar. I would tell you that we're not seeing any change in terms of competitive front. Our win rate remains very, very high customer level of excitement for our solution remains very, very high. We're just not losing deals in that context. It's really more of that time from vendor of choice into to PO and then ultimately to deployment. It's taking longer than the smaller deals with that.
Vikram Kesavabhotla: Okay, great. And maybe just as a quick follow up. As we look ahead to the fourth quarter and to 2020. Can you just give us some comments on what you're seeing in terms of RFP volume and the pipeline right now, relative to what you saw this time last year? Thanks.
Brent Lang: I would say both are up substantially. The pipeline right now, in particular our marginal pipeline is larger than it's ever been before and I think that's what gets us excited about the future. More and more of this business is going to RFP and I think that's the reflection of the fact that this is not a one off initiative by an individual inside of the department. But it's more of a strategic evaluation and initiative that's being managed and funded at the C3 level of the health system. And typically, in that environment, they're going to go through more of a formal RFP process.
Vikram Kesavabhotla: Great, thank you.
Operator: Your next question comes from a line of David Windley from Jeffries.
David Windley: Hi, thanks for taking my question. Good afternoon. I joined a little late. So I apologize if my context on this is a little off. But in our notes at the top of your comments you talk about I think eight deals over $1 million. Relative to your answer to last question are those deals where you're describing that you've gotten the vendor of choice not or whether actually progressing the bookings?
Brent Lang: So those are all formal bookings. We don't typically talk about deals until we received an actual booking from the customer. And that's a very disciplined approach that we take where the firm commitment to buy in the form of a purchase order. And so anything that is in that kind of vendor of choice to booking category is something that still in process and we wouldn't talk about on a call like this.
David Windley: Okay. And so make sure I'm clear on terminology. So, I think you also talked about in terms of sales force, attention and deployment that 80% are focused on new deals 20% focused on upsell. In light of lengthening cycle time, would it make sense to have more of your selling effort focused on kind of existing clients and moving, say already friendly clients up the consumption continuum, rather than having to break into somebody new where the cycle time to ultimate revenue is less known?
Brent Lang: Yes, directionally. I agree with what you're saying. I would correct the notion that 80% of sales force is focused on new deals. I think maybe, maybe we've said that its 80% of the effort or something. But in terms of the actual sales force deployment, the vast majority of them have a mixed bag of both install base of customers as well as new customers that they're targeting. And in fact, there's chunks of the sales organization that's focused on either maintenance renewals or on our supplies business and then there's a number that are focused on those existing customers as well. One thing that I would highlight to support your point, actually is that, I believe four of those $8 million deals, were in fact expansion deals. So you're absolutely right, the strategy, even when these larger over $1 million deals is to work with the install base, either in cross selling, engage or expanding into new groups of users or new departments and we've had good success in that environment.
David Windley: And then, last question, again sorry if you discuss this in detail. But last quarter, and when we were together during the quarter, you talked in some granular detail about two very large deals that had pushed out of the quarter for reasons that seemed very achievable, eminently achievable during the third quarter. Did those land in the third quarter or have they still been pushed out further?
Brent Lang: Yes, I don't think we want to get into the specifics of individual deals. But I would tell you we are feeling very good about that process. The analogy that I've used before is kind of the planes circling here, each landing individually. And, it's the actual the arrival time that someone is up in the air on some of them. None of those deals have disappeared. I think, all the ones that we were talking about in the Q2 timeframe of now close. But the more relevant point is that we need to have more airplanes in the air and more arrivals at any given point in time. And none of the ones we were talking about went away. I think they've all looked at this point in time.
Operator: And your next question comes from the line of Matthew Gillmor from Baird. Please go ahead.
Matthew Gillmor: Hey, thanks for the question. Following up on the elongation of the sales process. Sounds like that's driven by a combination of both larger deals, and then maybe some additional consideration around Smartbadges and folks trying to understand how that'll best fit within their strategy. Can you give us any sense for where you think you are in this process of the -- it seems like the elongation has gotten longer and longer and longer? Are you seeing any evidence that we're at a nadir, or at a trough I should say? And then how are you kind of factoring this into guidance? Can you just give us any sense along those lines?
Brent Lang: Yes, so thanks for the question. I think the way I would characterize it is it's not that the large deal sales itself is getting that much longer, but more of the deals are in that large deal sales cycles. So as we move, if you move to a dozen deals from a department level deal to these enterprise deals. And each of those transitions representative change from, a 9 months sales cycle to an 18 months sales cycle, then you're going to have this natural value during that transition period of time. And I think what's happening to our business is that more and more of it is moving into that that category of the larger enterprise deals. Yes, there are some factors that even on the enterprise deal, because of the dynamics in the market are being elongated. But I think the bigger dynamic for us is just the number of deals that are falling into that larger deal category. I think, we're getting closer to the point of reaching a steady state, although the challenge is just understanding the specific timeframe associated with those. And I think part of the reason why we're being more conservative with guidance, and I'll let Justin speak to this as well is that we just are recognizing that there's a natural lumpiness in the business as we as we navigate these larger transactions.
Justin Spencer: Yes. And as we look forward here over the next few quarters, I think this is clearly a dynamic that we've tried to factor into our overall guidance. What we're seeing is, we see a robust pipeline of large deals. We're definitely seeing a clear shift, purchasing from a departmental level to these larger deals. And so in terms of our expectations over the next few quarters while we work through this is, we've moderated our growth assumptions. But in long term, we think this is a real net positive because the larger deals have inherently larger deal sizes, and there's a much larger annuity stream that comes with those, which we think will add even more stability to our business model over the long run.
Matthew Gillmor: And maybe one follow up. Can you -- if you can just quantify sort of how large some of these very large deals are just to give us some sense for the opportunity that's ahead?
Justin Spencer: Yes, we have a fairly kind of simplistic artificial cut off of anything over $1 million is what we call a large deal. And as Brent mentioned earlier, they can fit either with as, as an existing customer who is expanding to a new hospital or even within a hospital across multiple products or a brand new customer who is purchasing the solution on an enterprise level across the entire health system. We have deal in our pipeline that are in that large scale category that range from that $1 million and up to several million dollars. And when you get into the larger health systems, there the opportunities are in the multimillion dollar levels.
Matthew Gillmor: Okay, thank you.
Operator: Your next question comes from the line of Sean Wieland from Piper Jaffray.
Sean Wieland: Hi, thanks. So given all this, have you updated how you're calculating your guidance, your third quarter-to-quarter guidance or predicting the deal closure cycles in any way can you share that with us?
Brent Lang: Yes, good. Hi, Sean. For the current quarter, we've applied a very consistent framework for how we calculate our guidance and our guidance relative to our results then quite strong in terms of forecasting revenue in the current quarter. And so we start with our backlog and our deferred revenue, we end the visibility that we expect from that in our suppliers and the remainder is the amount of book ship. When we're estimating the amount of books shift that we expect to close in the quarter. We look at the size of pipeline relative to our bookings targets and calibrate from there. Well, we are saying the reason we chosen to provide a little bit longer term view here, or I should say view as moderated growth over the next few quarters is to just make sure that expectations are in line with this transition that we're going through as we transition our bookings pattern from more departmental purchasing to larger deal sizes and in February will come out with formal 2020 guidance at that point.
Sean Wieland: So you've used the word moderate, a few times in describing your outlook, which I'm not quite sure what that means and is moderate going to be above zero. And can you comment on 2020, we should be expecting 2020 to be a flat year or now what is moderate need in your view?
Brent Lang: So the language that I have tried to highlight in my portion of the script was that we expect growth to be similar to what we've seen in the last couple quarters as we look into the next couple of quarters. So it's clearly not zero. It's not down. But it's also not in the mid-teens range that we've talked about, historically.
Sean Wieland: All right. And then one last quick one. How did the Fed business do relative to your expectations in the corner?
Brent Lang: It was right on track. I think we were really pleased. Obviously Q3 is always a big quarter for the Fed, and they delivered as expected. So we were really happy with how that played out.
Sean Wieland: Okay, thank you very much.
Operator: And your next question comes from the line of Gene Mannheimer from Dougherty and Company.
Gene Mannheimer: Thanks, good afternoon. I don't want to be a dead horse here. But I want to do just kind of go back to the increasing complexity of the sales as they get larger. Do you feel do you have the right structure and alignment in place to meet the complexity of these longer sales cycles and decision processes? For example, do you need a more consultative push, do you need more product and domain expertise, do you need to more of a hunter farmer model? I'm just trying to get a handle on and if you're thinking about those things?
Brent Lang: Thanks, Gene. Yes, spending a lot of time thinking about those things. And generally feel like we're in a work in progress on that. Clearly, there's been a transition in our sales organization, as we've had to migrate from the more department oriented deals to the larger deals. And that's been in the form of the tools and sales enablement aspects is coming in the form of who we're marketing to and how we're marketing on those. But it's also come in the context of the skill set and capabilities and structure of sales force itself. I would characterize 2019 as a year where we've been more aggressive in changing the makeup and structure of the sales team, where we found certain individuals who were just not able to make the transition to the more enterprise level selling. They may have been very successful, and it was more of a departmental or more of a device sale and so we've been very proactive in making those transitions. And we've got a number of new folks who come in and we believe, have more of that enterprise selling capability. And then the enabling tools that we give them, whether that's the account planning, whether that's the ROI sales tools, whether that's the clinical executive teams, the nurses that support those clinical workflows, or the technical expertise to be able to support the questions around scalability around security, more of the enterprise class questions, it becomes much more of a team based selling. And so well, I think we've made tremendous progress on that. I don't think we're done. I think there's more work to be done there and we continue to evolve, as we move forward on that some of this is learning on our part and some of it's actually also learning on the part of our customers, where they're making decisions that they may not have been exposed to before and they're having to navigate the organizational structure of their own organizations. And so I think we're, we're taking it very seriously and I would say we're on the right path, but we're not done.
Gene Mannheimer: Well, thought out. Thanks for that, Brent. And then my other question would be, I guess, about longer term growth, you've discussed that in the near term revenue growth is going to be more muted. But when you talk about the long term resumption of growth, how long term is that and will we be looking at a double digit type of trajectory past next year?
Brent Lang: I remain really excited about the long term growth prospects of this business. I think, as I said in my prepared remarks, I think our product solution set right now is better than it's ever been. We remain really excited about the Greenfield opportunity in this business. We still think we're in the early innings here. And so I don't see any reason why we couldn't get back up to that kind of growth level in the future. We see these product and market transitions as temporary. And my expectation is that at some point in the future, we could get back to the higher growth rates that we've experienced in the past. As you know both Justin and I try to be as absolutely transparent as possible about the business and like we see it and we felt like we wanted to be transparent at this point, but also want to make it absolutely clear that we remain very bullish on the long term prospects. And see a market that we're reminded every day is still made up of hospitals that have got bunch of pagers, and in building wireless phones and overhead loudspeakers that are just not getting the job done. And the number of hospitals that continue to come to us and just tell us what an incredible difference our products are making in their environment as they navigate away from these legacy solutions. Particularly in times of stress or particular difficult times during nursing strikes or other challenging environments, the value that our product suite can bring into the environment, both in terms of patient safety, as well as in terms of staff resiliency and quality outcome continues to make it a very, very powerful and compelling solution. So I think our long term prospects are being very positive.
Gene Mannheimer: Very good. Thank you.
Operator: Your next question comes from the line of Matt Hewitt from Craig-Hallum Capital.
Lucas Baranowski: Yes, this is Lucas Baranowski on for Matt Hewitt here at Craig Hallum. Just a couple of questions here. You've talked in the past about the potential for the Smartbadge to drive higher attach rate for engage in some of the software offerings. Now that some of those larger Smartbadge wins have started to come in, has that been the trend that you're seeing?
Brent Lang: Yes, absolutely. In fact, several of the deals that I talked about on the call, which were newer customer deployments, they were buying Smartbadges and they are also buying voice messaging and engage clinical integration. So the mix of devices across Smartbadges and smartphones and then the full suite of software is becoming the norm in most of our new customer wins. I would say it's taking longer and what I was trying to allude to in the call was that it's really the existing customers that are taking more time to do the evaluation because they have a lot of inertia tied to historically of doing things with our previous version of the Badge. But in particularly for the new customer wins, we're seeing the Smartbadge be a real driver of selling this full stack of our software and including engage in messaging.
Lucas Baranowski: Okay, great. And then turning to the Nordstrom rollout, I believe a large portion of that occurred during the quarter. How much of that is left to occur in Q4?
Justin Spencer: We reshipped and delivered all of the product, the Badges and the software. The professional services work is ongoing. We're through a meaningful number of stores but there are a few that remain which will be completed by the end of the year. That's gone really well. As Brent mentioned earlier, the new merchant store in New York, just open today and is prominently showing the demonstration of our technology in the store. We're really encouraged by how that deployment is gone.
Lucas Baranowski: Okay, thank you very much. That's all I had.
Operator: And our next question comes from a line of Mike Oth [ph] from Oppenheimer.
Unidentified Analyst: Good afternoon. Thanks for taking my question. With a few weeks of 4Q underway here curious how you're seeing the hospital spending environment in general as we head into 2020. And are you seeing any political headwinds at all?
Brent Lang: No, I don't think we've seen any changes at all. I think we're feeling good about Q4 and so far, the issues of staff resiliency and patient safety and quality of care seem to be immune from the DC belt [ph].
Unidentified Analyst: That's great to hear. And congrats on the $2 million plus international deals. I realized one was in the UK, but Brexit issues there seem to be heating up more recently. Curious if that has led to any impact on your business?
Brent Lang: I think it's too early to know. But with something we're certainly watching, the nice thing about the Cleveland Clinic London deal is that it's a private hospital. So it's not subjected to the same sort of funding mechanisms that the NHS deals would be. And I think in the short term, we probably would prioritize opportunities with the private hospitals in the UK over some of the NHS opportunities. But the team in the UK is actually building good momentum. Some of you may remember we moved one of our star employees over to the UK to manage that organization. And he has done a really nice job of building momentum, both within the install base as well as building pipeline. And I'm actually going to be over there next month meeting with customers, meeting with the team and also meeting with some investors and looking forward to getting on the ground and seeing the dynamic there. But the beautiful thing about the Cleveland Clinic in London is it's going to provide a tremendous lighthouse account for us because other thought leaders in the country will clearly be looking to Cleveland Clinic as they think about their own communication needs. And we think it will become a great showcase account for us as we grow that region.
Unidentified Analyst: Great, thanks very much.
Operator: Great. And your last question for the evening is from the line Stephanie Demko from Citi.
Stephanie Demko: Thank you, guys. Given the elongation of new client sales, how much room that you have left in the -- across the opportunity? And as a follow up to that is there anything you can do like reshuffling the sales force that could accelerate this just to kind of offset the slowing growth in other channels?
Brent Lang: Yes. Great thought Stephanie. In fact, we see a tremendous opportunity remaining for cross sell into our install base. The number of our legacy voice customers who are not using engage is still very, very high. And that could be not just a small cross sell, but in many cases can be a very large dollar amount in those cross sells. And some of the other legacy middleware players in the space are faltering right now. And so we see it as an opportunity to go back in and cross sell our solution into the install base there. There's also an opportunity to cross sell messaging. And obviously as we continue to roll out Smartbadge, we see that as an upgrade opportunity as well. So clearly sales force is balancing between new customer opportunities and install base, but we see the install base opportunity as a great growth driver as well.
Stephanie Demko: Will you have any pushback on the kind of cross sells or elongations there what causes this, given we haven't seen the rapid adoption yet, they kind of seem like a -- given is it they already have a competitor solution or is it just they're not ready for adoption?
Brent Lang: So the biggest issue is that they already have our solution. And I say somewhat ironically. But if you go to a customer that's invested millions of dollars into the B3000 and/or B3000 form factor or even B2000 form factor, that form factor was largely compatible with each other. It has the same battery. It uses the same charger. It uses the same accessories. The functionality and the user interface of the device was the same. So it didn't require any additional training. And with some of our larger install base customers who we rely on for large Badge refreshes on a fairly regular basis, they're looking at it and they're saying, there's a lot of inertia associated with the prior form factor for them to make the move to Smartbadge. It requires them to think about everything from batteries and chargers to training and rollout. But more significantly, it has been thinking about the change in their workflow because they've primarily been using pure voice workflows for most of their use of the Vocera. With the Smartbadges, they now can start thinking about in engage in some of these other pieces. And while that's a great opportunity, it's a more complex decision than simply saying, I'm going to swap out, 500 B3000n Badges for 500 Smartbadges because of some of those other infrastructure elements that I mentioned.
Stephanie Demko: Alright. Understood. Thank you. Good day guys.
Brent Lang: Thanks, Stephanie. Okay, well, thank you very much for your time today. We look forward to speaking with all of you in the future and have a good evening. All the best.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.